Operator: Good morning, and welcome to the Target Hospitality Third Quarter 2022 Earnings Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mark Schuck, Senior Vice President of Investor Relations. Please go ahead.
Mark Schuck: Thank you. Good morning, everyone, and welcome to Target Hospitality's Third Quarter 2022 Earnings Call. The press release we issued this morning, outlining our third quarter results can be found in the Investors section of our website. In addition, a replay of this call will be archived on our website for a limited time.  Please note the cautionary language regarding forward-looking statements contained in the press release. This same language applies to statements made on today's conference call. This call will contain time-sensitive information as well as forward-looking statements, which are only accurate as of today, November 9, 2022. Target Hospitality expressly disclaims any obligation to update or amend the information contained in this conference call to reflect events or circumstances that may arise after today's date, except as required by applicable law. For a complete list of risks and uncertainties that may affect future performance, please refer to Target Hospitality's periodic filings with the SEC.  We will discuss non-GAAP financial measures on today's call. Please refer to the tables in our earnings release posted in the Investors section of our website to find a reconciliation of non-GAAP financial measures referenced in today's call and their corresponding GAAP measures.  Leading the call today will be Brad Archer, President and Chief Executive Officer; followed by Eric Kalamaras, Executive Vice President and Chief Financial Officer. After their prepared remarks, we will be joined by Troy Schrenk, Chief Commercial Officer and open the call for questions.  I'll now turn the call over to our Chief Executive Officer, Brad Archer.
James Archer: Thanks, Mark. Good morning, everyone, and thank you for joining us on the call today. Target's record-setting third quarter results are a direct reflection of our continued commitment to enhance operational flexibility, while increasing financial strength and maximizing asset utilization. We generated record operating cash flow, executed multiple long-term contracts and achieved our strategic objective to materially strengthen our financial position, resulting in over $220 million of cumulative debt reduction since 2020, with over $300 million of liquidity. These accomplishments created the ideal platform to continue capitalizing on value-enhancing initiatives across our operating segments.  In our HFS segments continue to experience positive trends in customer activity, resulting in 3 consecutive quarterly increases in customer demand. Target's HFS customers continue to benefit from the size and scale of our network, which provides premium hospitality solutions and logistical flexibility for their dynamic labor allocation requirements. The intrinsic value of Target's network has supported an over 90% customer renewal rate for 7 years and a 14% increase in utilization from the third quarter of 2021.  This strong momentum supported multiple extensions to large HFS contracts during the quarter for customers that represented over 20% of Target's third quarter HFS revenue. We anticipate these contracts will contribute over $75 million of cumulative revenue through 2025, highlighting our long-standing partnership with these world-class customers. These meaningful contract extensions illustrate our commitment to preserving the premier customer base we have been committed to serving for over a decade, while simultaneously growing and diversifying the business.  In the Government segment, our priority during the quarter was to substantially complete the infrastructure inquired to service the Expanded Humanitarian Community, which we announced in July. To facilitate the timely completion of these critical enhancements, increase Target's network position and materially increase project returns, we deliberately chose to maximize the use of existing assets. This decision has enhanced our operating efficiencies by creating a more fully utilized network, particularly within the HFS Midwest region. In recent years, we have evaluated a range of scenarios aimed at rationalizing a portion of the HFS Midwest assets, but have been unable to meet our desired economic returns. We have now accomplished that objective.  Ultimately, the opportunity to reallocate these assets to the Government segment was the ideal outcome and resulted in a significantly higher return on assets than we had previously anticipated. We are pleased with the progress of the Expanded Humanitarian Community and believe it is on track to meet or exceed Target's medium- and long-term objectives, while continuing to fuel the critical humanitarian mission it was designed to service. In connection with the substantial completion of the infrastructure enhancements, we entered an 11-year partnership with our national nonprofit partner. The long-term agreement solidifies our joint commitment to continue providing critical humanitarian services to the United States government at this highly customized campus.  Further, we believe this reinforces our collective belief that this purpose-built community will remain an ongoing fixture in supporting domestic humanitarian aid missions. Target's Government segment represented over 77% of third quarter 2022 revenue and is expected to represent over 70% of full year 2022 revenue. This is a clear illustration of our commitment to diversify and expand Target's end markets while simultaneously high-grading counterparty exposure and contract structure. These accomplishments have supported the achievement of our strategic objective to materially strengthen Target's financial position and establish the ideal platform to continue pursuing strategic initiatives focused on accelerating the value creation for our shareholders.  I'll now turn the call over to Eric to discuss our third quarter financial results, financial outlook and capital allocation in this -- in more detail.
Eric Kalamaras: Thank you, Brad. In the third quarter, we experienced continued strong demand fundamentals and positive momentum in customer activity, predominantly driven by the materially Expanded Humanitarian Community we announced earlier this year. Third quarter 2020 total revenue was $160 million, and adjusted EBITDA was approximately $84 million. Our Government segment produced quarterly revenue of approximately $123 million compared to $46 million in the same period last year. The significant increase was attributed to the Expanded Humanitarian Community we announced in July.  As a reminder, Target's Government segment, including the Expanded Humanitarian Community, centered around annual minimum revenue commitments. Additionally, the Expanded Humanitarian Community includes variable services revenue that aligns with monthly changes to community population.  Our HFS segment delivered third quarter revenue of $36 million compared to $33 million in the same period last year. This increase was driven by sustained momentum in customer demand for Target's premium service offerings, supported by constructive economic demand fundamentals. Recurring corporate expenses for the quarter were approximately $10 million and illustrate our ability to significantly grow the business, while incurring minimal incremental costs. As a result of the scalable business model, we anticipate recurring corporate expenses to remain around $10 million per quarter for the remainder of the year.  Total capital expenditures for the quarter were approximately $74 million, with $70 million related to the substantial infrastructure enhancements required at the Expanded Humanitarian Community. With the completion of the community enhancements by year-end 2022, we expect a more moderate pace of capital expenditures into 2023.  We ended the quarter with $177 million of cash and over $300 million of available liquidity, with 0 borrowings under the company's $125 million revolving credit facility and a net leverage ratio of 0.8x. Further, Target anticipates additional balance sheet strengthening continuing into next year with the expectation of having 0 net debt by the second half of 2023.  Now turning to our financial outlook and capital allocation initiatives. To complete the Expanded Humanitarian Community in the most efficient way, we deliberately chose to utilize a larger portion of existing assets versus acquiring new equipment. This decision has significantly enhanced asset optimization and created a more balanced operating structure.  In addition, the use of existing assets resulted in a substantial increase in project returns than originally anticipated. However, this decision modified the accounting treatment for previously anticipated capitalized costs and resulted in onetime mobilization expenses in 2022. These expenses will not impact subsequent periods. As a result, we have updated our full year 2022 financial outlook, which now consists of revenue between $495 million and $500 million; adjusted EBITDA between $263 million and $268 million; discretionary cash flow between $255 million and $260 million; and capital spending between $130 million and $135 million.  While Target has experienced a significant increase in consolidated revenue and associated net income, it intends to utilize a significant portion of its remaining net operating loss carryforwards to offset its 2022 cash tax obligations. As such, Target anticipates 2022 cash tax payments of between $6 million and $8 million, resulting in an effective cash tax rate between 7% and 9%.  Target's enhanced end market portfolio and contract structure has supported increased minimum revenue commitments and provided greater visibility on long-term revenue and cash flow. As a result, the company is providing a preliminary 2023 financial outlook, which includes a minimum revenue of $525 million and maximum revenue of $710 million with minimum adjusted EBITDA of $365 million.  Turning to acquisitions, 2023 capital spending should approach more normal levels between $10 million and $20 million per year, with approximately 70% allocated towards growth capital. The range of preliminary 2023 revenue reflects the possible contribution of variable service revenue associated with the Expanded Humanitarian Community. Target anticipates variable service revenue will contribute between $50 million and $185 million of additional 2023 revenue, above the anticipated minimum revenue of $525 million.  The amount of variable service revenue will depend on the scale and timing of U.S. government nominations. Target's enhanced balance sheet will allow the company to continue evaluating a range of capital allocation initiatives focused on maximizing long-term shareholder value, while simultaneously expanding long-term growth opportunities. These growth opportunities include continuing to pursue diversifying adjacent end market acquisitions as well as select opportunities to strengthen our existing end market portfolio. In addition to broaden the range of potential value-enhancing capital allocation initiatives, Target's Board of Directors has authorized a stock repurchase program for up to $100 million.  This plan will allow the company to evaluate a more holistic capital allocation opportunity set, while focusing on maximizing value creation through all available means. We believe Target's enhanced financial position and balance sheet strength creates the ideal platform to continue pursuing these value-enhancing opportunities into 2023.  With that, I will turn the call back over to Brad for closing comments.
James Archer: Thanks, Eric. Our record-setting third quarter results illustrate our commitment to enhance operational flexibility, maximize asset utilization and provide unmatched value to our customers, which has supported the achievement of our strategic objectives. We are well positioned entering 2023 and will utilize this momentum to continue pursuing initiatives focused on accelerating value creation for our shareholders.  I appreciate everyone joining us on the call today, and thank you again for your interest in Target Hospitality.
Operator: [Operator Instructions]. The first question comes from Scott Schneeberger with Oppenheimer.
Scott Schneeberger: I guess I'll start out with the West Texas government contract, the expansion of the facility. Could you provide an update? It was mentioned in the press release, completed by the end of the year. It sounds like you're on track, but just want to get an update on the status of that and how complete that is. And then a couple of follow-ups on that theme.
James Archer: Yes, Scott, this is Brad. Nice speaking with you this morning. But to answer your question, look, we're substantially complete. We're tying up a few loose ends on site. And other than that, we're on track to finish up pretty quickly here in the fourth quarter.
Scott Schneeberger: Good. And so I guess, a couple of things, a few different directions to go in. But the -- first off, the -- is it -- are you at a point now where you can get an indication from the government customer of what type of utilization levels you may see in the West Texas facility now going forward because you're largely done with the expansion? And if you don't have that clarity yet, when might you anticipate that clarity?
Eric Kalamaras: Scott, it's Eric. Thanks for joining this morning. So the question regarding the occupancy levels and the variability there in, as we talked about a couple of times in August and then in July, that variability amount is really largely dependent upon the government allocations in terms of how they're seeing the flows and how they want to nominate to just across the portfolio.  So it's always hard to say. And so I think at this point in time, it's, I think, give us a little more time to figure out how that manifests itself. As Brad mentioned, the facility is not even fully opened yet. It's a new program for everyone. And so we're all learning around about exactly what that's going to look like going forward.  I think a couple of things to bear in mind though, while we wait and try to get more clarity through time is that there is a little bit of seasonality in terms of the flows and migration. And so we do bear all that in mind. And so the government will allocate with all that. And hopefully, when we have something specific, we will provide you updated information accordingly as well.
James Archer: Scott, maybe just a little bit more color as well around that. Definitely to Eric's point, look, there's -- we have -- we need to finish everything. So there will be a ramp-up period before they utilize this more fully. But taking you back to when we first started this contract over a year -- well over a year ago, our first contract, there was 19 temporary facilities holding kids throughout the United States. Today, there's only 2 ICF facilities nationwide.  So this is where they start to cull the temporary facilities, start to get into using the purpose-built facilities. And we're the only purpose-built facility in the United States that use permanent construction and again, only 1 purpose-built. So there's a ramp-up period here. But all of the moves that they're making are really positive for us and everything that we've talked about. So...
Scott Schneeberger: Excellent. Sounds good. I want to kind of take this further with -- I thought I heard in prepared remarks, I don't believe it was in the press release this -- and this is more for Brad, but Eric, we'll get into the onetime mobilization expense.  But Midwest -- HFS Midwest, it sounds like you're now tying facilities there into your -- it sounds like your partnership with -- your extended partnership with your not-for-profit partner and the government contract. Could you elaborate a little bit on how the Midwest HFS is being included?  And then I guess I'll finish up here and turn it over. But Eric also, Brad goes there, could you discuss kind of this onetime charge, how it impacted the quarter versus expectations, how it may impact the fourth quarter versus prior impact -- versus prior expectations? And clearly, it's not going into next year from what you said, but just a little more elaboration there.
James Archer: Yes. So Scott, on the rebalancing, we have been chipping away at this for 5 years. We'd get a project, we would cost it in, and we had moved some units that were either not utilized or underutilized in North Dakota. So we've moved them around. This project itself and the decision we made a few months ago to use our own assets really allowed us to rebalance our portfolio in one fell swoop. And not only in North Dakota, we actually moved some product around in Texas as well. They were utilized, but not 100%.  So this project as large as it is, it allowed us to really look holistically at all of our assets, anywhere in the country and say, how are we going to rebalance this to get more revenue out of it. We think it's a great move for the company. It's going to pay off long term for us, the investors, et cetera. So today, again, we're pretty much done now with the rebalancing of it. That's what it allowed us to do.
Eric Kalamaras: Scott, related to your question on a -- more from a financial perspective. I mean here's kind of the calculus that one has to think through, right, which is -- this is -- if we look at an expense shift, in this instance, call it -- just call it about $10 million or so, is effectively a onetime mobilization expense impact in Q3. And then we juxtapose that against a capital spend reduction of, let's say, close to $60 million, right? Look, that's akin to a 6:1 payoff that you would make that trade every day.  And so when we think about that, there's de minimis impacts into Q4. And of course, as you mentioned, nothing into 2023. And so just to kind of calibrate how we think about the return impact on that, that was effectively the calculus in that. So hopefully, that gives you a little bit of clarity in terms of your question and the impact in Q3.
Scott Schneeberger: Okay. And, yes, and I will turn it over but I'm just curious, Brad, I guess, on this rebalancing. I'm curious, is the government going to be tied into the assets in North Dakota? Or are you moving those assets down to Texas? Just -- I don't know if you're able to share, but what exactly is happening in this rebalancing?
James Archer: Yes, absolutely. We actually moved the units from one location, if you will, or several locations in North Dakota and some across Texas to the government project, right? And now all of the rooms that we moved are always getting paid the warm status, right? And then at some point, the variability piece as well comes into a deal. So we looked at this and said, where can we get payment every day of the week on the rooms, it was simple as that. And this project allowed us for it to be paid -- paid for it to be moved, set up again, et cetera, and saved us money from buying new product.
Eric Kalamaras: And Scott, this is an important modification because, as Brad mentioned, this has been something that has been worked on for a significant period of time. But when you make that shift like that, that was -- nothing is ever permanent, but that's a pretty substantial shift in the asset mix in a way where the market up there was not really allowing, right?  So to Brad's point, that was a pretty important structural shift where you're taking assets that were pretty underutilized and now getting -- not only are you high grading customer, you're high grading contract, you're also high grading margin exponentially on it.
James Archer: Yes. And it helps in efficiencies as well, right, when your utilization goes up. If you just look at Midwest, last year what it is today, you're starting to see that flow through on utilization. So efficiencies in operations, you're taking rooms out of the market. It should help us as we get into the future on pricing, those types of things as well. We think this was a great move that the government project allowed us to do.
Scott Schneeberger: And I will turn it over. But just to clarify, if you can share. It sounds like you -- these assets went from HFS now to government categorization. And I infer, they moved from North Dakota down to Texas. And if you can share, is that what occurred? Or is it just they remain where they are and it was a...
James Archer: You're -- yes, they were moved from North Dakota down to Texas and installed on the government project, and they're in use today. They were relocated.
Operator: The next question is from Stephen Gengaro with Stifel.
Stephen Gengaro: So a couple of things for me. The -- I guess the first, pretty straightforward, 2023 guidance. Does EBITDA include any contribution from the variable revenue portion?
Eric Kalamaras: Yes, it does, it does. It does include a small amount there. We've allocated approximately $50 million of revenue there. So again, we can look at that through time. But realizing we have a fair bit of runway as we move through 2023, we just felt given the material change in the business, that it was appropriate to try to at least guide the market to something in 2023. But $50 million was a spot to start with.
Stephen Gengaro: Okay. And then when we think about -- I'm not exactly sure I'd ask this question, but when I think about your business, and I think about the interest level and the commentary I get from investors and potential investors all the time, there's been a big diversification away from the oil patch, which is good. But there's now a customer concentration risk with this big government contract.  So what I'm trying to figure out is any color you can add -- and clearly, this partnership is a big positive. But any color you can add in sort of your comfort level, reallocating rooms from the energy side, and how we should think about milestones and data points to help us get comfortable that there is, in fact, going to be a meaningful extension here down the road?
James Archer: Yes. So I'll address of this, and then I'll let Eric jump in here too, but let me address the 11-year partnership. We looked at this -- it's a partnership with our nonprofit partner, as you know, but it solidifies our joint commitment to continue providing the care and services that are needed by the U.S. government.  But I think the bigger thing that we haven't discussed in the past calls, is here recently -- this is kind of in conjunction with the 11-year partnership. But here recently, we were requested by the government to provide a proposal for a 10-year lease on this facility. So I look at the 11-year partnership as really a precursor to something larger. It's playing out like that. You've got to check a few boxes first. We've been in this going on our second year. Construction is about finished. We've signed this 11-year partnership with our nonprofit partner. And in turn, the government is already asking us for a proposal to make this a more permanent fixture in their network.  And as I said earlier, remember, there was 19 of these facilities. It's down to 2. So we feel really good about getting a long-term deal done at some point. We're only 6 months into this contract. They do move a little slow, but we actually like the pace it's moving at this point. So feel very good about that moving forward long term.
Stephen Gengaro: Great. No, that's great color. The other question I had is when we think about -- it feels like CapEx next year is down, you're lowering your debt levels pretty consistently or at least your net debt levels. How do we think about -- I mean, there's not a lot of moving pieces, I don't think, between EBITDA and free cash flow next year, right? I mean working capital, maybe a little bit. But any parameters you can provide us as we think about getting from sort of '23 baseline EBITDA guide to free cash flow?
Eric Kalamaras: No, you're right, Stephen, there are not actually a lot of moving pieces and you would expect that cash conversion to be pretty substantial. I think the 1 thing to remember, and I think you know this is there is the $117 million amortization, which we talked about before. It's in the release. Certainly happy to talk about it offline to the extent that we need to. So obviously, that will be an adjustment to the operating cash flow. I think once you have adjusted for that and then taking normal working capital into consideration, everything else is pretty much status quo.  And so to your point, you end up with a significant amount of cash generation into 2023 and certainly into 2024 and beyond. And so that obviously begs a host of other questions in terms of capital allocation. But as you look at the model, once you've adjusted for that, what you're probably seeing is what you're going to get.
Stephen Gengaro: And then I just thought of one final one, and then I'll pass it over. When you think about the oil patch -- and I think the utilization of your available rooms in the Permian HFS South was like 89% in the quarter. And when you move rooms and reallocate rooms to the government, does this tighten capacity in the Permian and give you any underlying pricing power?
James Archer: It does. And I mentioned this a little bit earlier, right? It builds in some efficiencies. As your utilization goes up, you get more efficient and it should bring up some pricing power as well. It also gives us an opportunity to look in some areas, is there some equipment out there. Look, we're definitely continuing to grow the HFS. We're not running away from it. It's a great business that produces a great margin, and we have great contracts. It's a great business. So we'll continue to look at some things there to continue to grow that business as well. But yes, on the pricing problem.
Operator: [Operator Instructions]. The next question comes from Greg Gibas with Northland Securities.
Gregory Gibas: I just wanted to follow up on kind of the significance from a high level of that 11-year partnership. Congrats on that. I'm -- does it -- is it more kind of removing competition risks? Or should we think about it maybe encouraging the government to work with your partner more? Just maybe high-level significance of that.
James Archer: Yes. High level, look, I think it shows solidarity, right, that we both produce a great service, a great product. The government knows that. We have proven performance that's showing them our alignment. We've always said that we think this is a long-term solution for the government. It's going to be in their long-term plans.  And look, we were proven right. They've asked for this proposal we've submitted. We think they take their time, if you will, in doing something. We're just now opening up. But we think the 11-year partnership is very significant in just terms of, again, checking the boxes in the next step. This is something we knew we were going to have to do. And not only -- it shows a working relationship. Remember, our nonprofit partner does more work than just in Pecos. So to be able to work with them in other locations as well, it's not what this partnership covers, but it does show their willingness to work with us. So we'll continue to further that, but specifically, we think it's a big outcome for us and has more to go.
Eric Kalamaras: Yes. I think -- Greg, this is Eric. I think the other thing too is, as Brad pointed out, it doesn't necessarily cover this explicitly, but there is a framework now that is provided, whereby there are other opportunities over time, from a business development perspective, to partner with our nonprofit and other applications, right? And so that's not necessarily something that is contractually drafted in this exclusivity agreement. However, I would absolutely say that there is a commercial commitment among parties to do just that, right, and to go out and explore other opportunities together. So this is a -- it's certainly important from a contract perspective, but it's also important just from a commercial arrangement perspective.
Gregory Gibas: Great. Yes, makes a lot of sense. And if I could just follow up, I know you already kind of spoke a little bit on the variable revenue component over next year's expectations. But pretty wide range. I know you said within the EBITDA outlook, I think $50 million of revenue is expected from that. From maybe an investor standpoint or -- how -- does it make sense to assume maybe the low end of the range or do you have better visibility into something like the midpoint or -- anything you can kind of talk to there regarding that wide range?
Eric Kalamaras: Sure. Look, it's a great question. I appreciate the question. It's an obvious question. The -- a couple of points. The range that we put out on revenue is designed to give a sense of goalposts as to where things could ultimately be and to provide at least some directionality, albeit that -- saying is that, look, we still have 15 months, 14 months through to get to that kind of that time frame, right? So we felt it was important at least to put some guideposts out there by the company.  As the EBITDA portion, we also thought it was appropriate to provide something at a minimum level, albeit realizing it could certainly be materially higher than that. But we just don't know exactly what that will be at this point in time.  And so look, I think if I were to you all, I would be towards what we provided. And look, as time shifts forward, we can all modify accordingly. But I think we want to be sensitive to it and not presuppose what the government may or may not do over time. It's just too early to tell. And so I think we operate this with a conservative management team and deliver what we say we're going to deliver. And so that's how I would position you at this point in time.
Gregory Gibas: Great. Very helpful. I guess last, I just wanted to follow up on the updated guidance. Is -- the reduction in EBITDA this year, is that completely a result of the mobilization expense? Or are there other factors as well?
Eric Kalamaras: It's the lion's share of it. There's -- I mean, that was really the big piece.
Gregory Gibas: Okay. Have you quantified the, I guess, expense there?
Eric Kalamaras: Sure. So we've said -- we haven't, but I will. We said about $10 million to $12 million or so is that net impact, certainly from an EBITDA perspective.
Operator: This concludes our in-and-answer session. I would like to turn the conference back over to Brad Archer for any closing remarks.
James Archer: Thank you. Before we close, I want to express how proud I am of our team, our people and the many accomplishments we've achieved this past year. In 2022 alone, we have set records for revenues, cash generation, and EBITDA and today, sit with more dry powder than ever before with more than $300 million of liquidity. We are proud of the record-setting results, which have more than doubled the size of the business, including increasing adjusted EBITDA by $135 million from our original 2022 outlook. Lastly, we said we would diversify our business and we have, and we will continue to deliver on that promise.  I can't be more excited about the future of Target Hospitality as we head into 2023. While we are extremely proud of what we have accomplished to date, there's more to do. But make no mistake, with the strong momentum we've created, I have no doubt the future Target Hospitality is even brighter.  Thanks for joining us on the call today, and I look forward to speaking again in the first quarter of 2023. Operator, that concludes our call for today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.